Operator: Welcome to the third quarter Phillips 66 Earnings Conference Call. My name is Julie, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note, that this conference is being recorded. I will now turn the call over to Jeff Dietert, Vice President, Investor Relations. Jeff, you may begin.
Jeff Dietert: Good morning, and welcome to the Phillips 66 third quarter earnings conference call. Participants on today's call will include Greg Garland, Chairman and CEO; and Kevin Mitchell, Executive Vice President and CFO. The presentation material we will be using during the call can be found on the Investor Relations section of the Phillips 66 Web site, along with supplemental financial and operating information. Slide 2 contains our Safe Harbor statement. It is a reminder that we will be making forward-looking statements during the presentation and our Q&A session. Actual results may differ materially from today's comments. Factors that could cause actual results to differ are included here, as well as in our SEC filings. Before I turn the call over to Greg, I'd like to point out a change in our question-and-answer session. Based on investor feedback on how to improve our call, and to allow everyone the opportunity to ask a question, we are asking that you limit yourself to one question and a follow-up. If you have additional questions we ask you rejoin the queue. With that, I'll turn the call over to Greg Garland for opening remarks.
Greg Garland: Thanks, Jeff. Good morning, everyone, and thanks for joining us today. Third quarter adjusted earnings were $1.5 billion, a record $3.10 per share. This quarter, we demonstrated the value of our integrated portfolio attributing strong earnings. In the central corridor, our Refining and Midstream assets ran at record levels, capturing strong margins. We continue to benefit from advantaged feedstocks as the industry's largest purchase of heavy Canadian crude. We achieved record Midstream earnings. And in Marketing, we realized solid margins on refined product sales. We've repurchased or exchanged nearly 30% of our initial shares outstanding over the last six years, contributing to our record adjusted earnings per share this quarter. We continued our commitment to distributions by returning $775 million through dividends and share repurchase in the third quarter and $5.2 billion for the year. Strong shareholder distributions remain fundamental to our disciplined capital allocation approach. We're investing in a robust portfolio of projects with attractive returns to create shareholder value and drive future growth. During the third quarter, Phillips 66 Partners once again achieved record adjusted EBITDA. PSXP has grown at a rapid pace during its first five years. With its scale and financial strength, PSXP is well positioned to fund and sustain a significant organic capital program to drive future EBITDA growth. Phillips 66 Partners is the operator and largest owner in the Grey Oak Pipeline project. Grey Oak will provide crude oil transportation from the Permian and the Eagle Ford to Texas Gulf Coast destinations, including our Sweeny Refinery. Supported by shipper commitments, the capacity of the pipeline will be 900,000 barrels per day, is on schedule to be in service by the end of 2019. At the Sweeny Hub, we're building two 150,000 per day NGL fractionators, and adding 6 million barrels of storage at Phillips 66 Partners Clemens Caverns. We have agreements in place with multiple parties, including DCP Midstream, to supply Y-grade to the new fractionators. The Hub will have 400,000 barrels per day of fractionation capacity, and 15 million barrels of storage when the expansion is completed in late 2020. Our Sweeny Hub is strategically located on the Texas Gulf Coast, and directly accessible from the Permian. Gulf Coast fractionation capacity remains tight, and there's strong interest from customers and future expansion projects. At the Beaumont Terminal, we recently placed 900,000 barrels of fully contracted new crude oil storage into service. We're having additional crude tanks under construction that will increase the terminal's total capacity to 14.6 million barrels by the end of this year. During the third quarter, we had about 200,000 barrels per day of exports across our dock. The continued growth in domestic crude production is expected to result in the need for higher Gulf Coast exports, and we're making investments to capitalize on those opportunities. At Beaumont, we recently approved a new project to further increase crude storage by 2.2 million with completion anticipated in early 2020. PSXP also has a 25% interest in the South Texas Gateway Terminal under development in Corpus Christi. The terminal is connected to Grey Oak Pipeline, and will provide 3.4 million barrels of crude storage upon completion in late 2019. DCP Midstream continues to expand the Sand Hills Pipeline to meet the demand for growing NGL production in the Permian Basin. DCP increased the pipeline's capacity to 440,000 barrels per day at the end of the third quarter, and further expansion to 485,000 barrels per day is expected by the end of this year. Sand Hills is owned two-third by DCP and one-third by Phillips 66 Partners. In the high-growth DJ Basin, DCP's Mewbourn 3 gas processing plant started up in the third quarter. And the O'Connor 2 plant is expected to begin operations in the second quarter of 2019. In Chemicals, CPChem has a leading position in polyethylene to supply the world's growing demand for polymers. CPChem's portfolio of cost-advantaged assets are strategically located in the U.S. and the Middle East. Abundant ethane supplies remain the cost advantage feedstock for U.S. Gulf Petrochemicals growth. CPChem continues to optimize its U.S. Gulf Coast Petrochemicals assets, and is developing a second U.S. Gulf Coast project that would include ethylene and derivative capacity. CPChem is also evaluating additional capacity across multiple product lines to do bottlenecks on existing units. In Refining, we continue to focus on high-return projects to improve margins. We have an FCC optimization project underway at the Sweeny Refinery that will increase the production of high-value petrochemical products and higher octane gasoline. This project should complete in mid 2020. At our Lake Charles Refinery, Phillips 66 Partners is constructing a 25,000 barrel per day isomerization unit. This new unit will increase production of higher octane gasoline blend components when completed in the third quarter of 2019. We're opportunistic about future growth opportunities across our businesses. With growing hydrocarbon production in the shale plays we see opportunities for further midstream infrastructure build-out, including pipelines, export facilities, and NGL fractionation. Our refining system is well positioned to capture low-cost crude feedstock, and we see good opportunities for future chemicals expansion. We will remain a disciplined allocator of capital. We'll continue investing in growth projects with attractive returns that align with our long-term strategy, and we'll continue to provide a strong, competitive, growing dividend. And we'll be a buyer of our shares when they trade below intrinsic value. With that, I'll turn the call over to Kevin to review the financials.
Kevin Mitchell: Thank you, Greg. Hello, everyone. Starting with an overview on slide four, third quarter earnings were $1.5 billion. After excluding special items, adjusted earnings per share was $3.10. The third quarter adjusted effective tax rate was 23%. Our year-to-date after-tax return on capital employed was 14%. Operating cash flow excluding working capital was $2.1 billion. Working capital impacts reduced cash flow by $1.5 billion. Distributions from equity affiliates were $910 million. Capital spending for the quarter was $779 million, with $537 million spent of growth projects. We ended the quarter with 461 million shares outstanding. Slide five compares third quarter and second quarter adjusted earnings by segment. Quarter-over-quarter adjusted earnings increased $134 million driven by higher earnings in Marketing, Midstream, and Refining, partially offset by lower Chemicals results. Slide six shows our Midstream adjusted net income, which was a record $261 million in the third quarter. Transportation adjusted net income for the quarter was $175 million, up $38 million from the previous quarter. The increase was due to higher volumes, increased pipeline tariffs and storage rates, and lower operating costs. Our operating pipelines in the central corridor benefited from strong utilization at our refineries. In addition, the Bakken Pipeline [technical difficulty] averaged more than 500,000 barrels per day. NGL and other adjusted net income was $64 million, an increase $14 million, reflecting increased Sand Hills and Southern Hills pipeline volumes and propane and butane trading activity. Sand Hills pipeline throughput during the third quarter was a record $421,000 barrels per day. We continue to run well at the Sweeny hub. During the quarter, the export facility averaged 10 cargoes a month and the fractionator averaged 110% utilization. DCP Midstream adjusted net income of $22 million in the third quarter is up $7 million from the previous quarter due to increased pipeline volumes, higher NGL prices and improved hedging results. Turning to Chemicals on slide seven, third quarter adjusted net income for the segment was $210 million, $52 million lower than the second quarter. Olefins and Polyolefins, adjusted net income decreased $70 million due to low margins from higher ethane feedstock costs. This was partially offset by higher polyethylene sales volumes as CPChem operated at 96% domestic polyethylene utilization and also grew from inventory. Global O&P utilization was 91% in the third quarter reflecting planned turnaround activities and unplanned downtime from a third party power outage that impacted the Cedar Bayou facility. Adjusted net income for SA&S increased $9 million from improved margins. The $9 million increase in other mainly reflects the gain on an asset sale. During the third quarter, we received $325 million of cash distributions from CPChem. Next on slide eight, we will cover Refining. Crude utilization was 93% compared with 100% in the second quarter. Our third quarter clean product yield was 84% and realized margin was $13.36 per barrel. Pre-tax turnaround costs were $55 million, a decrease of $5 million from the previous quarter. The chart of slide eight provides a regional view of the change in refining's adjusted net income which increased $48 million in the third quarter. In the Atlantic basin, adjusted net income increased as the Humber Refinery returned to normal operations following a second quarter turnaround. This was partially offset by third quarter unplanned downtime at the Bayway Refinery. Gulf Coast adjusted net income decreased due to narrowing heavy crude differentials and unplanned downtime at the Alliance Refinery. Adjusted net income in the central corridor was $633 million. An increase of $241 million reflecting improved heavy Canadian and Permian crude differentials and higher volumes. Third quarter capacity utilization was 108%. In the West Coast, the decrease was mainly due to a 25% decline in the gasoline market crack. Slide nine covers market capture. The 3:2:1 market crack for the third quarter was $14.21 per barrel compared with $14.86 in the second quarter. Our realized margin for the third quarter was $13.36 per barrel, resulting in an overall market capture of 94%, up from 83% in the second quarter. Market capture was impacted in part by the configuration of our refineries. We made less gasoline and more distillate than premised in the 3:2:1 market crack. Losses from secondary products of $1.62 per barrel were lower than the previous quarter by $1.19 per barrel, primarily due to improved NGL and coke prices relative to crude oil. Feedstock improved realized margins by $2.50 per barrel, a decline of $0.65 from the prior quarter due to narrowing Gulf Coast heavy crude differentials, partially offset by improvements in the central corridor. The other category includes impacts associated with product differentials, RINs, outgoing freight and inventory. This category improved realized margins by $0.26 per barrel. Let's move to Marketing and Specialties on Slide 10. Adjusted third quarter net income was $290 million, $95 million higher than the second quarter. Marketing and Other increased $98 million due to higher realized margins in the U.S. and Europe, reflecting seasonally stronger market conditions. U.S. branded marketing volumes increased 2% sequentially. We re-imaged $384 domestic marketing sites during the third quarter, bringing the total to over 2100 since the start of our program. Refine product exports in the third quarter were 190,000 barrels per day. Specialties adjusted net income decreased $3 million during the quarter from lower base oil margins. On slide 11, the Corporate and Other segment has adjusted net costs of $187 million, up slightly from the prior quarter. Lower interest expense was due to a second quarter debt repayment and higher capitalized interest. Corporate overhead increased primarily from employee severance costs and taxes. Slide 12 highlights the year-to-date change in cash. We entered the year with $3.1 billion in cash on our balance sheet. Cash from operations excluding the impact of working capital was $5 billion. Working capital changes reduced cash flow by $1.6 billion. This reflects a $1.5 billion use in the third quarter due to an inventory build which included the impact of unplanned downtime at Bayway and Alliance, as well as the timing of crude cargo receipts and payments. We received $1.2 billion from the first quarter issuance of debt net of second quarter debt payments. During the year, we funded $1.6 billion of capital expenditures and investments, and we returned $5.2 million to shareholders through the repurchase of shares and payment of dividends. Our ending cash balance was $924 million. This concludes my review of the financial and operational results. Next, I'll cover a few outlook items for the fourth quarter. In Chemicals, we expect the global O&P utilization rate to be in the mid 90s. In Refining, we expect the worldwide crude utilization rate to be in the mid 90s, and pretax turnaround expenses to be between $110 million and $130 million. We anticipate Corporate and Other costs to come in between $170 million and $190 million after tax. In closing, next quarter we are changing our segment reporting to be on a pretax basis. Income taxes will only be reflected at the consolidated company level. This change will make our segment reporting more comparable to our peers. With that, we'll now open the line for questions.
Operator: Thank you. We will now begin the question-and-answer session. As we open the call for questions, as to courtesy to all participants, please limit yourself to one question and a follow-up. [Operator Instructions] Doug Terreson from Evercore ISI. Please go ahead. Your line is open.
Doug Terreson: Good morning everybody, and congratulations on another great result.
Greg Garland: Good morning, Doug.
Kevin Mitchell: Hi, Doug.
Doug Terreson: Greg, you guys have been a leader in the whole energy industry in pledging to balance your spending and distributions. And while it's worked very well for shareholders, it obviously starts with disciplined capital spending. And so on this point, while you may not have your specific guidance yet, I wanted to see if you could provide some color or maybe philosophy that you might have on capital spending for 2019 and beyond?
Greg Garland: Yes, we'll I'd start from the guidance we've given that long-term we want to reinvest 60% of cash from all sources back into the business, and 40% goes back to our shareholders, so a strong dividend and share repurchase. And see us deviating from that, Doug, over the longer-term. Any given year we could bounce around a little bit. This year is going to be hard to hit. We'll hit 60-40, but it's going to be the other way, given we're already at $5.1 billion of share repurchases for the year. But there's no question I think that we're working the capital budget for 2019 now, we go to our Board, in December, for approval. So I don't want to get too far out ahead of that. So we got Grey Oak, and the fracs. And of course Grey Oak, even though it's a PSXP, it gets consolidated up into PSX. So at the consolidated level we're probably looking at something between $2 billion and $2.5 billion in '19. We'll tell you what the number is when the get to the Board in December.
Doug Terreson: Sure. Thanks a lot, guys.
Greg Garland: You bet.
Operator: Neil Mehta from Goldman Sachs. Please go ahead. Your line is open.
Neil Mehta: Hey guys, good morning. Congrats on a good quarter here. I had two quarter-specific questions, but also then want to see if we could extrapolate them forward. And so if I think about where the driver -- in fact, one of the big drivers of outperformance versus model, was it was in the mid-con n your central corridor business. So can you talk about how you see that outlook going into the fourth quarter, and into 2019 as well? And there are a lot of components to that question, so your views on Brent, WTI, Western Canadian crude, and also just gasoline margins in the region. And then I have a follow-up.
Greg Garland: Okay. That was five questions packed into one Neil, but we'll try to deal with it. So let me just start the high level and then I'll have Jeff step in and kind of give our views. So I think, first of all, no question large differentials on WCS, but also WTS differentials were strong in the quarter. We're able to capture that at Borger and to some degree into Ponca. And we ran really well, so 108% capacity utilization. So where we needed to run really well, we ran well and we were able to capture that opportunity. And I'll let Jeff comment on our future views in terms of WCS spreads.
Jeff Dietert: Yes, so PSX is the largest importer of Canadian crudes and we benefit from these wider discounts. Production growth is continuing to exceed; infrastructure development, production up roughly 300,000 barrels a day both in 2017, and 2018 with further growth coming in 2019 as well. The pipelines are full. Enbridge Line 3 is the next one lined up for year end next year. It's only 370,000 barrels a day incrementally. And then Keystone and Trans Mountain are kind of 2022 plus. For the time being the rails are full as well. When you look at the DOE stats for Canadian imports, we've imported right at 200,000 barrels a day for the last four months. That looks to be about what we can do at this point as an industry. There are some long-term contracts that have been signed and we expect the rail capacity to increase later this year and really more so next year. Canadian storage is at record high levels and it typically rises during the fourth quarter. So things continue to be tight with Canadian differentials.
Neil Mehta: And then the other area was marketing. You guys put up very strong results. I guess, there's a seasonality element to that, but it seems like gasoline wholesale margin is holding as well. So talk about your view for the marketing and specialties business and can we carry some of the strength forward?
Jeff Dietert: Yes, so there is seasonal strength there. The third quarter has got July and August, two summer months with the Fourth of July and Labor Day weekend in there as well, versus only one summer month in the second quarter. And so there is a big seasonal component there. When you look at wholesale gasoline prices, they were relatively flat in the third quarter versus more volatility in the second quarter and it's easier to push through the margins in a more stable price environment. We had strong margins in Europe as well and so really strong performance overall for the marketing segment.
Kevin Mitchell: But Neil -- this is Kevin -- as you look into 4Q you would normally expect to see the demand will come off seasonally as it typically does. And so you would expect weaker results from that segment as you go into the fourth quarter from the third.
Neil Mehta: Makes sense. Thanks again guys.
Jeff Dietert: Thanks, Neil.
Operator: Roger Read from Wells Fargo. Please go ahead. Your line is open.
Roger Read: Yes, thanks, good morning and a very impressive quarter.
Greg Garland: Thanks, Roger.
Kevin Mitchell: Thanks, Roger.
Roger Read: Just to dive in here, maybe a little bit of a follow-up on Neil's question as we think about capturing the central corridor and throughputs. So should we generally think about it as it's a Hardesty price adjusted for transportation or is there a component of WCS you get, you know, south of the border, doesn't have a price? I'm just trying to think about it in margin capture potential over the next few quarters until crude by rail has an opportunity to maybe narrow the differentials up.
Greg Garland: So Roger, I think the easiest way to look at this is just on a quarter on quarter change in the Canadian heavy discount 2Q versus 3Q in this case and as we go into 4Q just compare the difference in the discount at Hardesty and factor that in. We do see about a 30-day lag. And so I think it makes sense to lag that a little bit as well. But the easiest way to look at that is just sequential changes.
Roger Read: All right. I appreciate it.
Greg Garland: The other thing I'd add is Roger, we have invested in infrastructure that allows us to capture that. So we have things at Hardesty, we've got commitments on pipes coming south. And so I think we're really well-positioned to capture that ARPU when it's there.
Roger Read: Great. Thanks. And then the unrelated follow-up, PSXP, obviously there's been some pressure on refining MLPs across the space. You're structured differently in terms of assets and the size of the business. Just wondering, are you seeing issues where you may ultimately roll PSXP up or that you need to do something about the IDR, I was just wondering how you're evaluating that business to time a little bit of change maybe overall in the sector?
Kevin Mitchell: Yes, that's right. I'd point out we're at a different spot than some of the ones that have rolled up. It's a billion dollar plus EBITDA, we've grown at a 30% compound annual growth rate, the distributions. On our call later this afternoon for PSXP, we're going to lay out a great organic portfolio of projects that's investable. We kind of made the pivot from a drop down story to organic growth story. PSXP on its own has substantial capacity to invest. And so, we just look at it as a vehicle to help us grow our midstream business. And so we like that component. We think PSXP is a strong entity and a valuable part of our portfolio. Now, IDRs this is certainly a topical question and I don't think we'd go a meeting that we don't get asked about IDRs and what are we going to do with IDRs. I would say that we don't think that there's a constraint on growth created by the IDRs today. Although, we do acknowledge that there's a lifecycle to MLPs. We certainly understand that. I would say that the path to how you deal with IDRs is a well-worn path and well-understood by most people. And the only guide rails that we would put is we're certainly willing to deal with the IDRs at the appropriate time, but it's going to have to be in a manner that is fair to LP unit holders but also to the PSX shareholders. So we'll get the IDRs at some point.
Roger Read: All right. Thanks. I'll stick to the one in one.
Kevin Mitchell: Okay.
Operator: Phil Gresh from JPMorgan. Please go ahead. Your line is open.
Phil Gresh: Yes, thank you. First question would just be on chemicals, Greg, obviously there's been some tightness here on the feedstock costs and there's been a little bit of pressure on the margin, on the product margin side as well. Maybe you could just talk about how you're viewing those fundamentals in 2019, how long it'll take to resolve some of the fractionation issues. Obviously, you're going to help contribute a bit to that recovery, but just any thoughts you have?
Greg Garland: Yes, well, I think, during the quarter, I think I had a wild ride, you know, in the high 30s more than doubled and went back down into the high 30s and it's below that today. And I think the industry just had a hard time keeping up with that. So it did cause some margin compression. And frankly, we always thought with the new unit that have come on, three so far, that there would be some compression in margins as these materials started hitting the market. I think that thing that we all missed was how quickly the frac capacity build up. And it was really you know, that frac capacity going up that drove the ethane prices so quickly and rapidly. I think that KIMS did a great job of adjusting their feedstock slates and obviously by cracking more propane and then putting pressure on ethane and you saw the result on the ethane prices. But I think we're going to be at this tension point until we can get some more frac capacity on and we'll see some coming on in '19. There's two or three fracs coming on in '19 and then a couple of more fracs including our frac 2, frac 3, another 300,000 a day in '20. So I think as we move into '19 and '20, we'd start to resolve that issue around feedstock.
the :
Phil Gresh: Okay. Great. Second question, I guess, this one would be for Kevin since you mentioned it in your prepared remarks. You talked about in secondary products that coke -- I presume that maybe that's needle coke was the contributor to that margin improvement if I looked in the Atlantic base and your secondary margins were really strong there. So maybe you could just elaborate on the contribution that you're getting there?
Kevin Mitchell: Yes. So it's a combination. It's not that you've got then NGL impact, the strong NGL prices, and you had improved pricing across all grades of coke, so petroleum coke, and coke, needle coke and so strong pricing across the board and so that all contributes to that, that's a secondary product impact.
Phil Gresh: Okay. And you feel that sustainable?
Kevin Mitchell: Well, that depends on where the markets go. I mean that category as if you look back over time. That moves around it can move around quite a bit in terms of the overall impact on capture, so it will move as market conditions do so.
Phil Gresh: Okay, it sounds good.
Kevin Mitchell: They were also down during that period of time and so that they're probably impacted that the amount of the positive direction on secondary products but I think the coke market globally has improved, there's no question around that. We have two refineries certainly like troughs in Humber they're probably most of impacted implements particularly by the specially grade cokes. The last two, three years we've been working to develop new markets for specially great cokes one of those is the anodes and lithium ion batteries and we've made good progress there and developing a new high valued market for us. Lot of the other specialty coke goes into our furnace production and that's tied with the global economy and so you have to answer the questions as sustainable or not have become common and he continues to do well. I think this business will between you do well for us but if it's a relatively small component in the overall mix for gold 66 it was completely overshadowed by the margin improvement we saw on the central quarter around, you think about billings, you think about Wood River and [indiscernible] $25 spread there.
Greg Garland: Bill, I think it's important to note that we have multiple grades of needle coke for many different applications and depending on the grade, the quality, the makeup of the needle coke. They trade at different prices. In addition for commercial reasons we don't disclose the duration of our sales contracts which can influence the prices that we capture.
Phil Gresh: Appreciate it. Thank you for the initial color.
Greg Garland: You bet.
Operator: Paul Sankey from Mizuho Securities. Please go ahead. Your line is open.
Paul Sankey: Thank you, good morning. Hi guys. Could we take a little bit more about chemicals, I thought what they would actually be that weaker then the results that you achieved, could you just give us an outlook for both volumes and margins your best guess that would be great. Thanks.
Greg Garland: Well, specifically to that third quarter, we had to turnaround at quarter author on the ethylene side but we're selling out of inventory. Ethylene inventories are still relatively high and that's also leading at some of the margin compression we're seen in ethylene. I don't when see becomes a case, but actually built inventory to cover the derivatives start up from last fall to the new cracker came on and the new cracker came on better, quicker and ran higher rates than we expected and so we've been adjusting inventories and so became to bring that when inventories down. So then you come back and you think about okay, what's happening going into next year. The sales lines are still strong polyethylene sales volumes are up quarter-over-quarter we're seeing strong demand growth it really across all regions also. I would say we're constructive on the outlook for margins going into 2019.
Paul Sankey: Are you hitting maximum volumes is not correct in terms of your sales?
Greg Garland: I think they certainly the Middle East assets are running at capacity we had a global OMP rate of 91% but that was influenced by the put author turn around then we had a power outage at our Cedar Bayou facility which ticked down the new cracker and the old crackers Cedar Bayou, so that really impact operates but I would, we've given guidance kind of mid 90s for the fourth quarter and I think we feel pretty comfortable with that guidance.
Paul Sankey: Great. And then the follow up is just on gasoline, again the market exceeded our expectations which is little bit conference here to discuss generally in a rising price environment and that was anything to add on that if additionally you could talk little bit about what looks like a very weak gasoline markets at the moment whether that's transitory effect to already what's going on there. Thanks.
Greg Garland: Yes, I think as you look at New York Harbor gasoline train at $8 a barrel crack that's the weakest in two years in New York Harbor distillate strain $29 a barrel that's a seven year high, so we're definitely seeing that split seasonality is a big factor what they are VP change the change coming into the blending pool, gasoline inventories are high even relative to seasonal norms, what we're seeing is more pressure in the Atlantic basin especially on the European side of the Atlantic simple refining margins in Europe are negative and we are starting to see economic run cuts in Europe. We are in the U.S. starting to see gasoline imports slow earlier this year they were running about 800,000 barrels a day and they fall into 500,000 barrels a day and recently only 300,000 barrels a day. In addition gasoline exports to South America are improving, you look at October 27 with 700,000 barrels a day were up over a 1 million barrels a day this year, so the other side of that equation with strong distillate is encouraging runs on the distillate side but really the U.S. is well-positioned relative to the international markets, when you think about attractive crude discounts, strong diesel demand in cracks. Low fuel and operating cost and competitive taxes that we enjoy here and as you look into 2019, 2020 we expect high complexity refining capacity to benefit from the IMO environment and higher runs for high complexity, lower runs for low complexity refining.
Paul Sankey: Correct, Jeff, that was extremely helpful her year maybe you should think about yourself that made? Thanks guys.
Greg Garland: Thanks, Paul.
Operator: Doug Leggate from Bank of America Merrill Lynch. Please go ahead. Your line is open.
Doug Leggate: Thanks. Actually going to do my questions and Paul just tossed out one so I'm going to hold up Jeff if I may and it's probably for you. There was as gasoline situations been an action waiting to happen given the strength of runs in the U.S. but my question is when you think about export of light sweet crude it was Gray Oak and capacity expanding on the Gulf Coast, along with the IMO in pipe for European refiners, in other words higher runs, combination seems to us to be another threat to gasoline in 2019 the higher runs, lighter yields. I'm just curious if you can offer your thoughts on how do you see the gasoline market improving in an IMO world next year or going into 2020 I guess.
Kevin Mitchell: Well, I think the gasoline market's going to be challenged through the winter months. I think as we shift into next year there's going to be a focused on emphasizing distillate yields in an effort to improve distillate yields with confidence that, that's a longer term event with IMO coming as opposed to the U.S. that really tries to maximize gasoline yield in the summer months. It's certainly possible that we could have maximizing diesel yields year around for the next number of years and so we're looking at those yields shifting as IMO approaches feedstock in FCC feedstock is a good Marine blending component which could have the impact of reducing FCC runs as well and shifting more product yield into distillate and added gasoline. I think that's how we get out of this, but gasoline's probably going to be soft through the winter months.
Doug Leggate: I appreciate it. I am only going to take the rest of the one offline, but my follow up is for Greg and Greg, you're going to hear this because I ask it every couple quarters I guess and it's clearly the split between the dividend and the buyback and I want be very specific and we agree with you that your stock is undervalued but you never tell us what your number is, we unfortunately have to publish our number, so we're kind of there now exposed sort to speak but the point is that you're not immune to the seasonality the weakness, the market weakness and all the rest of it. So my question is are your buybacks, are you committed to ratable buybacks, are you a bit more to selling and when you execute your buyback program and in this environment why wouldn't you swing the benefit of your diversified portfolio back towards more of a dividend cut than a buyback cut in terms of the cash, and I'll leave it there. Thanks.
Greg Garland: Well, so we've never contemplated cutting the dividend…
Doug Leggate: No, no, no, what I mean is the split. When I say, "Cut," I mean like that which way cuts in favor of dividends versus in favor of buybacks -- choice of phrase, sorry.
Greg Garland: It was a Scottish definition of got me, okay. Look, I think we've consistently kind of guided to $1 billion to $2 billion of share repurchase years of past couple of years. Obviously this year we had an opportunity in February to take a big swing with Berkshire, we did, but I think the guidance is still pretty good guidance going forward, what we look at this stock price every quarter. We have a grid, we reset that grid every quarter Doug, so in the past two weeks we've been buying a lot more stock and we would normally buy, the share price fell and I think you'd want us to do that but we look at that every quarter and as I think out into 2019 kind of that $1 billion to $2 billion consistent range of share purchases will be the guidance that will give for 2019 also.
Doug Leggate: Yes, I guess I was sort of looking for that desirability as well as looking for. Thanks a lot Greg.
Operator: Prashant Rao from Citigroup. Please go ahead. Your line is open.
Prashant Rao: Thanks for taking the question. I wanted to circle back on cash flows in particular cash flow from operations. One of the step ups that we saw queue on queue in the equity affiliate distributions and just to become being a more material part of GFFO, wanted to get a sense of I don't want to front run anything you're going to say on CSSP call, but maybe just sort of to get a sense of where that cadence could move as we sort of model cash flows going forward and think about, how much that could be an offset to any CapEx needs coming up on midstream and any further on in chemical.
Kevin Mitchell: Yes, this is Kevin. I mean fundamentally the way that what drives the distributions from the equity affiliates or the operating cash flows within the equity affiliate, less in the case of CPChem, WRB less the capital spending that they're undertaking at the, at that level at the JB level. In the midstream, it's a little bit different because most of those affiliates are distributing, most of their operating cash flow is not all and then the growth capital expansion capital is being funded by contributions back in to those entities. So you've seen a robust distribution so far this year so just over $900 million in the third quarter, the year-to-date through the third quarter is just over $2 billion of distributions coming out and so you think about WRB which both refineries have benefited very well from the overall crude differential environment that we're sitting in and WRB will essentially distribute most of its cash. There's no incentive, neither owner is incentivized to have the partnership sit on more cash than it needs to fund it's ongoing operations, so that's part of it as WRB does well and so the cash distributions coming back will do so with CPChem, some of this has been a function of the capital spend has come off significantly with a big project complete that's all behind us now and so the capital spending program this year is quite a bit lower than it had been. And so they're in a position to continue with pretty healthy distributions. We had guided to perceive became $600 million to $800 million of distributions for the year we've done $725 million through the third quarter and it's certainly possible that could be another distribution coming in the fourth quarter, so pretty healthy outlook from that standpoint.
Prashant Rao: Okay, thank you very much. That's very helpful and then just a quick follow-up, Kevin, I apologize if you detail this in your prepared remarks, with the working capital swing that we saw in the quarter, should we expect most of that to reverse out next quarter, and so for the full year we sort of end up breakeven on that volatility, or if there is something -- anything that's sort of going to residual that we should be mindful of?
Kevin Mitchell: No, I think that's a reasonable assumption. It's always hard to get forecast working capital with too much precision given the amount of moving parts there are within that but high level we would expect that to reverse and so the full year working capital is something reasonably close to breakeven.
Prashant Rao: Okay, thanks very much for the time gentlemen.
Operator: Paul Cheng from Barclays. Please go ahead. Your line is open.
Paul Cheng: Hey, guys. Two quick questions, first on the needle coke, is there any capability for you guys seem to short term say within the next six months or so have be able to increase the production on that and also that on the medium term, do you have any plan to increase the capacity?
Jeff Dietert: The refining -- the cook businesses is within the Humber Refinery and the Lake Charles refinery, so it shows up in our refining portfolio our refining segment. In that segment, we highlight the most important capital projects every year. And you've seen us with Wood River and Bayway FCCs with now the Sweeney FCC. We highlight all the large capital projects. And so, the fact that we haven't highlighted a large capital project; it's probably a reasonable assumption that there's not one.
Paul Cheng: Right, Jeff. Thank you for that, but I think needle coke is a function of that, what type of oil that you choose and going into the cooking into the cooker? So maybe I get you wrong, that if they cook these areas actually need to be specially designed because I don't think it is. But maybe that you guys can help me understand a little bit better?
Jeff Dietert: Well, we do have industry leading technology associated with needle coke production, it is a different process. And so we are very unique in that regard.
Operator: Brad Heffern with RBC Capital Markets. Please go ahead, your line is open.
Brad Heffern: Hey, good morning, everyone. Switching back to chemicals, I was wondering, you guys were a little more candid this quarter talking about progressing a second U.S. Gulf Coast project, can you give a sense of the timeline there when it could potentially see a fighting and so on?
Greg Garland: Well, as a joint decision with our partner, I think that timing we've kind of guided to kind of a late '19, early '20 type FID, we are progressing work around the site location, the permits required initial designed around that facility. But I still think that it's late 19 or early 2020 in terms of FID for that facility.
Brad Heffern: Okay, got it. Thanks. And then, I guess on the frac capacity side, I was wondering if you could just talk about sort of the path forward for NGL production in the U.S. over the next 6, 9 months when there is an incremental frac capacity in Mt. Bellevue. Do you guys see what grade is getting produced in the tanks or does it get rerouted to Conway or Appalachia or how do you see that playing out?
Greg Garland: Yes, it's going to be interesting to see how we move forward, we'll probably see rejection maintained at high levels of the gas plants as people attempt to you to ship and fractionate the heavier barrels. So I think that rejection will stay relatively high. I think this will encourage additional NGL pipeline capacity and additional fractionator capacity because supply is likely to continue to grow as we as we go forward, drilling activities continuing in the Permian. We are drilling 600 wells a month and only completing 400 wells a month. So the duck inventory is growing by 200 every month, once the infrastructure comes online, then those completions will accelerate in and fill the infrastructure. So I think we're going to add infrastructure, add supply then add infrastructure then add more supply. We are kind of in that cycle.
Brad Heffern: Okay. Appreciate the thought. Thanks.
Operator: Matthew Blair from Tudor, Pickering, Holt. Please go ahead. Your line is open.
Matthew Blair: Hey, good morning, everyone. I was intrigued by the comments of the bottleneck in existing chem's unit. Could you give a sense of just the general capacity that you'd be talking about here as well as the timing and also with some of these de-bottlenecks occur at your brand-new cracker in PE units?
Greg Garland: The answer is yes, I think we probably have room to de-bottleneck the new cracker. But we across the platform, I would say we have opportunities and some of the older assets through to do some additional de-bottlenecking. So we are not going to give a number today in terms of the volumes on that. But I think that CPChem has a great portfolio of opportunities kind of internal to the existing asset portfolio where they can get some more value out of those assets. As you know, the bottlenecks are the easiest ones to do highest returning projects typically in the portfolio, so we will prosecute those.
Matthew Blair: Right, right. And then over and refining, what were your Bakken rail volumes to Bayway if any, in the quarter and how would you expect this to potentially ramp going forward, do you see de-bottleneck is just a lack of the 117J railcars?
Greg Garland: Yes, we benefit from blocking differentials as an owner and shipper on the Bakken pipeline. We do rail volumes to both the East Coast and the West Coast. We haven't disclosed those specifically, we really don't talk about specific refinery feedstock procurement but we are seeing an acceleration and growth in the Bakken oil productions up over 200,000 barrels a day year-on-year, but it's actually accelerating it's up 75,000 barrels a day quarter-on-quarter. The pipelines are largely full, the rail logistics are tight, I think you are right with the new compliant railcars being a bottleneck there. We have had some heavy refining maintenance in the mid-continent this quarter which will lead up as we get into later in November and December but we do expect Bakken differentials to remain wide.
Matthew Blair: Thank you.
Greg Garland: Okay.
Operator: Manav Gupta from Credit Suisse. Please go ahead, your line is open.
Manav Gupta: Hi guys, so PSX is one of the global leaders in cooking capacity given IMO indicating no chance of a delay, ignoring of the administration, would PSX be open to investing in any resin destruction or resin upgrade projects. I mean, and you look at the Sweeney Refinery location, it's right next to John's Creek. So you can source a lot more WCS there, so this could be a good candidate to build a Coker, so just wanted your views on it?
Greg Garland: Yes, yes so we are the global leader in coking capacity and we really achieve this through a number of previous investments and we are well positioned with our portfolio, higher diesel yields relative to our peers and significant hydro treating capacity, so our portfolio is really well positioned without significant future capital investment requirements for the IMO environment.
Manav Gupta: Okay. And a quick follow-up in the Mid-con, the fights DCS, did you actually increase an uptake on the Permian crew that help drive that big Delta up?
Greg Garland: So PSX benefits from discounts on Permian barrels and mortar refinery as well as transporting volume into the mid-continent and the U.S. Gulf Coast refineries as well. We also been benefited PSXP from the ownership and the 900,000 barrels a day grey pipeline and the South Texas gateway facility. So those were the primary beneficiaries of the wide Permian dish during the quarter.
Kevin Mitchell: Maybe also ran our first. We also ran our first train out of the Permian this year around to or this quarter around to.
Greg Garland: Beaumont.
Jeff Dietert: Beaumont.
Kevin Mitchell: Yes.
Greg Garland: So, I think we're doing everything we can around the portfolio to create value out of these opportunities.
Manav Gupta: Thank you, guys. Thank you so much.
Greg Garland: Okay.
Operator: Craig Shere from Tuohy Brothers. Please go ahead. Your line is open.
Craig Shere: Good afternoon.
Greg Garland: Good afternoon.
Craig Shere: Picking up on Roger's PSXP question a bit, kind of apart from collapsing the NLP structure or worrying about the IDRs at this point, it seems a lot of industry peers have either gone one direction or the other in terms of to the extent they still have an NLP putting all their midstream down there and then of course the opposite which is just consolidating it all back to the parent, you still have substantial existing assets and major growth projects at the C-Corp and the midstream space, are you just comfortable having this kind of dual pronged Summit PSXP, Summit PSX approach or do you envision a longer-term kind of simplification around how to think about midstream?
Greg Garland: Well, first of all, you are right, we probably have 700 to 900 million EBIT at the PSX level, that's MOP qualifying EBITDA although 300 or so that resides in our array finding business today. We just don't see the need to do that, we have such a strong portfolio of organic opportunities investable at PSXP and it has a balancing and the capability to execute those projects that I suspect that it will be a longtime before we get to the need to do any drops, it gives us comfort that we have in there we need them, but I would just say we are comfortable with the structure, we think about PSXP is a vehicle to help grow our midstream business, I think we said many times, we will be very comfortable of all the investments we are making a mid-stream, could be executed to PSXP level. And indeed, we've grown from almost zero capital budget to $750 million this year. And this afternoon, we are going to tell you a budget over a billion dollars for PSXP over 2019. So you can see that the strategy is evolving. And so, it's doing what we needed to do in terms of helping us to grow our midstream business and we are comfortable with it.
Craig Shere: Fair enough. And my second question, can you all update a little bit on how the market is looking for incremental LPG export contracting opportunities?
Greg Garland: Well, so I would say that, our export terminal which was 150,000 barrels a day design we've demonstrated kind of 200,000 barrels a day we are running about 180,000 barrels a day. Our view, we're constructive on the export market growth for LPG's and indeed, when we look at all the NGLs coming at us, out of the Permian, Eagle Ford and the other basins, we are going to need to export LPG to clear the U.S. markets because the U.S. man just not going to grow fast enough to absorb that. So I think we are comfortable with the growth profile we see out there. I think a lot of people have questions around tariffs and what tariffs they are doing, what we are seeing as of the markets pivoting around the tariffs today. So we have the Chinese buyers that aren't necessarily shipping to China today. And then maybe trade now for Gulf cargo but the markets working in our view at this point in time and I just think longer term we will certainly solve the tariff issue, so I don't think we are concerned about that on a medium to a long-term basis. So we like the profile, we see I think that the issue is that the asset from our view is still underperforming our expectations even at kind of these 180,000 to 200,000 barrels a day given where dock fees are, we think doc utilizations in the U.S. are still around 83%, 84%. Let's say, as we move into '19, we see those utilizations improving. We think the opportunity to earn fees will improve. But in this market today, I don't think we would be interested in taking a long-term contract at $0.06
Kevin Mitchell: From a domain perspective, we see continuing growth in the residential and commercial side for LPGs internationally, especially in Asia, as well as for chemical feedstocks.
Craig Shere: And just in summary, what would you think the a multi-year economic contracting market, could begin to return by second half '19?
Greg Garland: Yes, as utilization of the existing LPG export capability moves from the 80s to the over 90%, we expect that those margins will start to widen out across the dock. And there will eventually be a need for additional capacity which will push those margins up and offer some opportunity for contracting.
Operator: Chris Sighinolfi from Jefferies. Please go ahead. Your line is open.
Christopher Sighinolfi: Hi, guys. Thanks for the added color this afternoon.
Greg Garland: Yes, thanks.
Christopher Sighinolfi: I just want to quickly circle back on CPChem, it was really helpful color on the inventory sales in the third quarter. And some of the outages power related complications you had encountered. But I guess, as we look into future periods and curious with regard to the inventories, as you mentioned, and as I get normalized, how that might shape the sales profile, I guess implicitly, what I'm asking is how much of that excess inventory that you talked about, having built up remains to be liquidated, and how might that shape, what we should think about 4Q?
Greg Garland: I think from an industry perspective, the excess inventory is really in ethylene part, not the derivative part of the chain.
Christopher Sighinolfi: Okay.
Greg Garland: So it's really people making adjustments on the ethylene production side to bring the ethylene inventories back into line. And I mean, when you look at, we look at the full chain margin. And so what you've seen is the margins really shifted into the derivatives over the last couple of quarters. And I mean, that's the value of being totally integrated from that perspective. But I suspect that as ethylene inventories kind of comeback to more normal, some of that margin shifts back into the ethylene side. But, from a CPChem perspective, they're kind of agnostic, because they, they capture that full value through the chain. And so, managing inventory is just part of good blocking and tackling and capital discipline around working capital. So I think that, what we fundamentally look at, we look at the Middle East, so the asset is running, this inventory is stacking up at the docks, it's not, it's kind of continues to be a strong buyer and inventory seem to be clearing through that system. And, of course, demand in the U.S. appears very good to us fundamentally. So I just -- we are constructive in our outlook in 1920 and '21. And from a fundamental supply demand balance issue, we see increasing operating rates, which I think is constructive towards margin as we move forward in that business. And so, I think that the comments around inventory are really specific around kind of the third and fourth quarter. I think, as you get into '19, those start to clear out in terms of the ethylene slide side.
Christopher Sighinolfi: Okay, that's really helpful. I guess real quickly, just switching gears and I don't want to run from around the PSXP public. Two questions, as I said, on Gray Oak. One is the upside is initially targeted capacity to 900 from 800 is that purely just based on additional contract volumes superior or was there something else influencing it and then second is just as Enbridge provided any early indication, you is what it will do with it's an option. I guess, I'm asking the contact of your earlier comments regarding capital budgeting discussions with the board at this point or entering 4Q about, what '19 looks like?
Greg Garland: Yes, so I would say there're multiple parties involved and they uplift to 900,000 barrels a day. So the line we are building a 30-inch line regardless. And so, but it was nice to be able to farm up those commitments and it certainly Enbridge has an option to come in that option expires in November, I think. And so, I think by the fourth quarter you'll have visibility and where they decide to exercise that option or not. I hope they do. They are great partner, if they don't we are willing to keep their share. I say it's a great project. So you'll have some more insight into that. In fact, all the other people that have options to come in to Gray Oak have to do so by November. If I was going to bet your money on it, I think our ownership is going to be 42.25% because I think the people will exercise their options to come into the line, I know, I would.
Christopher Sighinolfi: Thanks.
Jeff Dietert: Thank you for your interest in -- all right, thank you for your interest in Phillips 66. If you have additional questions, please call Rosie or me. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may now disconnect.